Operator: Welcome to The Glimpse Group’s Second Quarter Fiscal Year 2025 Financial Results Webinar. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. The earnings release that accompanies this call is available on the Investors section of the company’s website at ir.theglimpsegroup.com. Before we begin the formal presentation, I would like to remind everyone that statements made on today’s call and webcast, including those regarding future financial results and industry prospects are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company’s regulatory filings for a list of associated risks, and we would also refer you to the company’s website for more supporting industry information. I would now like to hand the call over Lyron Bentovim, President and CEO of The Glimpse Group. Lyron, the floor is yours.
Lyron Bentovim: Thank you, Jenny, and thank you everyone for joining us. I'm pleased to welcome you to The Glimpse Group's Q2 Fiscal Year 2025 Financial Results Investor Call for a quarter ended December 31st, 2024. I am very proud to announce that in addition to continued strong revenue growth, this quarter we achieved positive EBITDA, positive cash flow, and positive net income. This is the first time we've achieved positive EBITDA in our history as a public company and is a direct result of our strategic and operational restructuring over the past several quarters. With our strategic transition to focus on special core mostly complete and with the increasing incorporation of enabling AI elements across our product base, we are well positioned to capture the vast potential in the immersive technology space over the coming years as the immersive technology cycle gets closer to mass adoption. There are tremendous opportunities in front of us and to facilitate, in late December we raised $6.8 million in net proceeds from one investor in registered direct equity offering. We currently have approximately $8.5 million in cash and a very clean capital structure. During the quarter, our subsidiary company, Brightline Interactive BLI, delivered the second phase of its large DoD contract, an achievement of significant performance and technological milestones. BLI entered into an initial contract with the U.S. Navy for an immersive AI-driven simulator system to be delivered in the coming months, setting the ground for potential follow-on contracts in 2025 and beyond. BLI delivered a scalable immersive solution to a global government service integrator, positioning itself as a leading middleware for processing and visualizing complex information in 3D space and setting what we believe has the potential to become an industry standard. The continuing resolution and the launch of BLI for 2025 has delayed the potential awarding of multiple government and DoD opportunities. We hope this will be resolved promptly in March 2025 when the current continuing resolution is completed and with a new administration and Congress now in place. Led by our subsidiary, Foretell Reality, we continue to make strong progress on commercializing our AI-driven immersive training product and have experienced encouraging initial traction with our customers and partners. We have a strong long-term revenue pipeline and expected contracts, but putting these aside, we already have a reasonable visibility as to the reminder of fiscal year 2025 ending in June 30, 2025. Driven by the timing of existing contracts, revenue recognition for Q3 FY25, we expect a decline in revenue and negative adjusted EBITDA to be more than offset by a very strong Q4 FY25 with significant revenue growth, positive adjusted EBITDA, and profitability. For the full fiscal year 2025 ending June 30, 2025, we expect aggregate revenue to significantly exceed our FY24 revenue and to be about EBITDA breakeven for the full fiscal year versus a significant adjusted EBITDA loss in the prior fiscal year. With that, I will now turn it over to Maydan Rothblum, Glimpse’s CFO and COO, to review the financial results. Maydan?
Maydan Rothblum : Thanks Lyron. I will limit my portion to a summary review of our financial results. A full breakdown is available in our 10-Q and press release that were filed before market opened today. Please note that I will refer to adjusted EBITDA and other non-GAAP measures. For the calculation of adjusted EBITDA and other non-GAAP measures, please refer to the MD&A section of our 10-Q filings, which you can find on our website under SEC filings. Q2 fiscal year 2025, revenue of approximately $3.17 million, reflecting, A, 52% increase compared to Q2 fiscal year 2024, which ended December 31, 2023, revenue of approximately $2.08 million, and, B, a 30% increase compared to Q1 fiscal year 2025 at the quarter that ended September 30, 2024, revenue of approximately $2.44 million. The increase in both comparative periods was primarily driven by an increase in Spatial Core revenues as well as growth in our other businesses. Gross margin for Q2 fiscal year 2025 was approximately 64% compared to 68% for Q2 fiscal year 2024. The decrease was driven by revenue mix, which tends to oscillate a bit between the quarters. On average, we expect our going forward gross margins to continue to be in the 60% to 70% range. Q2 fiscal year 2025 positive adjusted EBITDA of approximately $0.28 million compared to an adjusted EBITDA loss of approximately negative $1.33 million for Q2 fiscal year 2024. Net operating cash provided from operations for Q2 fiscal year 2025 was approximately $0.17 million compared to a net operating cash loss of approximately negative $1.68 million for Q2 fiscal year 2024. Importantly, as Lyron mentioned, this is the first positive EBITDA quarter in a company's history as a publicly traded company, reflecting our significant restructuring efforts over the past few quarters combined with revenue growth. So specifics regarding the visibility Lyron mentioned. For Q3 fiscal year 2025, we expect a decline in revenue to a range of $1.5 million to $2 million with a negative adjusted EBITDA to be more than offset by a strong Q4 fiscal year 2025 with expected revenue range of between $3.3 million to $4 million in positive adjusted EBITDA. For our fiscal year 2025, ending June 30, 2025, we expect aggregate revenues to exceed $11 million compared to $8.8 million for fiscal year 2024, a 25% plus increase in annual revenue and breakeven adjusted EBITDA for the fiscal year versus significant adjusted EBITDA loss in the prior fiscal year. Our current cash operating expense based fee revenue, is now less than $0.9 million per month. Given our contracted and projected revenue cash in going forward, we expect to generate positive cash flow in each of the remaining quarters for fiscal year 2025. The company's cash and equivalent position as of December 31, 2024, was approximately $8.5 million with an additional $1.4 million in accounts receivable. The increase in our cash position was primarily a result of our December ‘24 registered direct equity financing in which we raised $7.3 million in gross cash proceeds from one investor in a clean structure. We continue to maintain a clean capital structure with no debt, no convertible debt, and no preferred equity. Lastly, on December 24, 2024, we received a written notice from NASDAQ informing the company that it had regained compliance with NASDAQ listings, which requires listing securities to maintain a minimum bid price of $1 per share. This closes the matter that originated on September 3, 2024. I'd now like to pass it back to Lyron for some closing remarks, after which we will begin our Q&A session.
Lyron Bentovim : Thank you, Maydan. As we guided in previous quarters, we continue to maintain -- in our strategic plan and have achieved strategic and operational restructuring, revenue growth, profitable operations, major contracts, and key technological developments in the area of AI, spatial computing, cloud, and immersive technologies. In parallel, we have bolstered our strategic plan and are well positioned to execute on our growth strategy and the huge opportunities in front of us. I thank you all for your interest in and support of the Glimpse Group. And now I'll turn the call back over to the operator to take some questions. Jenny?
Operator: [Operator Instructions] Our first audio question is coming in from Casey Ryan of WestPark Capital.
Casey Ryan: Thank you. Good morning. Great quarter, gentlemen. It looks really good. I had a couple questions, just high level. Would you care to frame for everybody or for me, I guess, what the revenue split looks like between commercial and government and what you think the shape of that looks like moving forward? It feels like there's a lot of positive activity, obviously, around the DoD and government opportunities, but I'm just wondering if you can give us some sense of the split for revenues.
Lyron Bentovim: Good morning, Casey, and thank you. At this point, we're probably around 40 percent-ish government and 60% commercial.
Casey Ryan: And what do you imagine as you look forward, maybe just for the remainder of this fiscal year? Does that feel like it'll stay steady or do you think that'll change in some meaningful way as we go forward?
Lyron Bentovim: I think for the remainder of our fiscal year we will be kind of around that range. And then as we look into 2025, we're hoping to increase the government percent of this as kind of some of that business comes in.
Casey Ryan: Yes. Okay. All right. Terrific. And then tell me what your perspective is. It feels like there's a lot of very clear use cases now being talked about around DoD and maybe other government and military applications specifically for your solutions. What's the development of the end customer, I guess, commercial versus government? Do you feel like the commercial opportunities are or use cases are as clearly defined, I guess, for the commercial space?
Lyron Bentovim: Yes. And I think the kind of the applications on the kind of military defense side are going to lead to even further kind of and larger opportunities on the commercial side. So we're definitely leveling work we're doing on the kind of defense side to then put solutions in front. And then we'll take kind of commercial side, but those will be very significant applications on the same technologies.
Casey Ryan: Okay. Terrific. And then my third question is just around the operating expense line. I think there was a lot of progress or a big reduction there in the OpEx line versus last year, but even versus the prior quarter. Maydan, I think you'd mentioned $900,000 per month as sort of an OpEx run rate, but correct me if I misheard that. Are we thinking that OpEx will be in the same range per quarter moving forward? And I think my math is sort of $1.9 million type of number per quarter, or do we think that those levels will start to rise a little bit as we move into the end of the year?
Maydan Rothblum : Yes. Casey. Yes. That estimate is correct. I think it'll be stable going forward for certainly the remainder of the year. We'll see what happens going forward when we do have some capacity runway under that. It really depends on the timing of some of these larger contracts that may hit in the coming months. So we'll wait and see. But at the current level of revenue, this is the expected operating base going forward.
Casey Ryan: Okay. All right. Terrific. And then just to sort of round out on things that we've talked about in the past, I guess, have there been anything, any meaningful, and maybe there haven't been because you didn't include them in the press release, but opportunities in terms of divestitures. And then I guess on the other side of the coin, are there any opportunities that you see to potentially acquire important or new assets out there that you guys are maybe working on in terms of business development?
Lyron Bentovim: The answer to both is yes. We see kind of opportunities to monetize and divest pieces of our business that we see as less critical for what we're doing and kind of we're exploring some of those avenues. And on the same time, we're seeing a lot of interesting opportunities on the outside. And we're always looking to see how we can structure deals that are accretive to the company and then productive in our kind of path forward. So there's opportunities on both sides, but we're not going to rush into anything that doesn't make sense for shareholders.
Casey Ryan: Okay. But not putting any timing, it's something that like we should continue to pay attention to as being potentially positive both ways in terms of monetizing assets and potentially acquiring new assets as we move forward.
Lyron Bentovim: Yes, that's definitely something to pay attention to.
Operator: Your next question is coming from Jack Rubinstein of DICA Partners.
Jack Rubinstein: Hello, guys. I hope you can hear me. Anyway, I wanted to just go down to the basics, get an understanding of what your immersive technology is. From what I gather, the use of artificial intelligence is a predictive science. So using artificial intelligence, you ask questions. The role that Glimpse plays is in order to answer those questions, one must simulate possible outcomes. So for instance, in the military area, if there's an issue, a place, for instance, where do I place my fleet, so on and so forth, their AI creates questions, creates predictions as to possibilities, and your division answers those questions via various simulations. Is that a proper analogy or just description? And as AI grows, do we get more and more questions? And that leads to the growth of more and more immersive simulations. Thank you.
Lyron Bentovim: Very good question and description. Let me try and put a little bit of color, Jack, into kind of some of our AI integration. And I'll use a couple of examples. Obviously, on the DoD side, I will be very vague for obvious reasons. And I'll try and be more specific, a little bit on some of the commercial utilization of AI in what we're doing. So on the military side, if you think about information and information that exists right now in the military, it is mostly confined to 2D. And kind of you've got a lot of sources of information that is coming in a variety of ways. Some of it is visual, some of it is data-driven, some of it is in a variety of kind of bands of sound and other elements. And what we're kind of basically doing is helping the DoD take all this information and convert the 2D information into actionable 3D information that then AI can interact with and then humans can interact with and then other non-NPC elements can interact with to kind of create value for the industry. And I left it vague, but people that understand can really kind of visualize where it's going. On the commercial side, one of the things we're working right now is we've integrated AI into our multi-person platform, allowing to simulate any scenario with an AI. So imagine you're trying to simulate a sales goal or a challenging HR situation or a doctor that has to give bad news to a patient. Our environment puts you in that room. You can be the doctor and you have a patient and you have to give them bad news and the AI will act with you based on information we're providing it, allowing you to really kind of get that experience before you go do it in the real life. So, hopefully that gave you a little bit of color.
Jack Rubinstein: Yes, thank you very much. Yes. And that obviously is a hugely growing field. So, I mean, if you maintain your preeminent position in that field, that's a good thing for Glimpse Group.
Lyron Bentovim: Yes, definitely.
Operator: Okay, thank you very much. Well, we don't appear to have any more questions on the phone lines. I can hand back to Lyron if you've got any questions through the webcast.
Lyron Bentovim: Thank you, Jenny. So there's two questions in the webcast and I'll read them and try and answer them a little bit. And one of them kind of ties to what Jack just asked about. So the first one is, how do you plan to integrate AI into your offering in 2025 and beyond? So I think kind of that ties very well to Jack's question that we just answered. There is kind of the immersive world and AI kind of fully integrated kind of and I believe that the progress we've seen in AI over the last two years has really taken the ability to have all these interactions come into life using immersive technologies, virtual reality and augmented reality. And what we see is integrating AI into our full product set as we're kind of evolving and finding all these use cases across military and defense, health care, education and commercial businesses and integrating that into there. The next question I have is, would the company be involved in more government contracts soon? I certainly hope so. We've been kind of working on building a pretty significant pipeline of opportunities that we are executing on. Obviously, that requires the government to have a budget for 2025, which hopefully will be resolved in the coming weeks as the continued resolution expires in March. And once the budget is set, hopefully kind of the opportunities that we're working on will be budgeted and then kind of we will hear positive news and that will kind of drive our increase in our government business in 2025.
Operator: Okay. Lyron, do you have any emailed questions?
Lyron Bentovim: I think that's what I have.
Operator: Okay, brilliant. Well, now I will turn back over to you for your closing remarks.
Lyron Bentovim: So before we go to closing remarks, Maydan says that there's another question. Maydan, if you can read it, I don't see it on my end, Maydan.
Maydan Rothblum : This one asks, what kind of actions are you taking against the competitors? What makes VRAR better than any other company in the field?
Lyron Bentovim: I don't like to brag, and I see this as a great opportunity. I see kind of competitors in the space as partners in building immersive technology. I think this industry has significant growth potential ahead of it. Obviously, we have our advantages in each one of our kind of solutions and technologies. And we've built over the last nine years kind of what is one of the largest immersive technology companies in the world. But I think the growth is not by kind of beating our competitors, but by kind of helping build the industry and the use cases. And that will create significant opportunities for all of us.
Maydan Rothblum : Okay, there's another question. What is the timeframe for your project execution?
Lyron Bentovim: So we are continuing to execute on all of the opportunities. If we are referring to the large DoD contract, that would be executed and finalized at the first period of performance by the second, the fourth quarter in our fiscal year's Q2 calendar year.
Maydan Rothblum : And there's another question. What can be the impact of government spend? The majority of the revenue now comes from contract with government.
Lyron Bentovim: So I think there's a potentially positive impact from that because they're diverting government spend from areas that have not been very efficient to future technology boosting kind of the new administration is already kind of highlighting AI as one of the initiatives that it's pushing. And I expect that to have a positive impact on us in the mid to long term rather than a negative impact. I would like to thank each and every one of you for joining our earnings conference call. We look forward to continuing to update you on an ongoing process. And if we have any questions that we have not been able to answer, please reach out to us directly.
Operator: Thank you. This does conclude today's webinar. Thank you for your participation. And have a wonderful day.